Operator: Ladies and gentlemen, thank you for standing by. Welcome to Douglas Emmett's Quarterly Earnings Call to discuss its 2011 Fourth Quarter and Year-end Financial Results. Today's call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management's prepared remarks. (Operator instructions) I will now turn the conference over to Mary Jensen, Vice President of Investor Relations for Douglas Emmett. Please proceed.
Mary Jensen: Thank you. Joining us today on the call are Jordan Kaplan, our President and Chief Executive Officer; and Ted Guth, our Chief Financial Officer. Please note that this call is being webcast live on our website and will be available for replay for the next 90 days and by phone for the next seven days. Our press release and supplemental package have been filed on Form 8-K with the SEC and both are also available on our website at douglasemmett.com. During the course of this call, we will be making forward-looking statements. We caution investors that any forward-looking statements are based on the beliefs of, assumptions made by, and information currently available to us. The actual outcome will be affected by known and unknown risks, trends, uncertainties, and factors that are beyond our control or ability to predict. Although we believe that our assumptions are reasonable, they are not guarantees of future performance, and some will inevitably prove to be incorrect. Therefore, our actual future results can be expected to differ from our expectations and those differences may be material. For a more detailed description on some potential risks, please refer to our press release and the current SEC filings, which can be accessed on the Investor Relations section of our website. Please note that the market data sources that may be referenced in our remarks are CB Richard Ellis for the Honolulu and Los Angeles office market, REIT for the Los Angeles office market, MPF Research for the Los Angeles multifamily market and Property & Portfolio Research for the Honolulu multifamily market. Once we've reached the question-and-answer portion, we request that all participants limit themselves to one question and one follow-up per person. This is in consideration of the others who are waiting. I will now turn the call over to Jordan Kaplan, President and CEO of Douglas Emmett. Jordan?
Jordan Kaplan: Thank you, Mary. Good morning, everyone and thank you for joining us. As we noted in our press release, since our last call, we have paid off all of our 2012 debt maturities and substantially reduced our overall leverage. We raised an additional $190 million through our ATM program, completing that program. As previously announced, we recently closed a new $155 million seven-year term loan at an interest rate of 4% per annum. We then used the proceeds of those actions together with cash on hand to pay off all of the remaining $522 million of debt scheduled to mature in 2012. As of February 1st, we no longer have any near-term debt maturities, we have reduced our aggregate consolidated debt by over 10% or approximately $367 million, and we have lowered our consolidated loan to value to 47%. Following our debt reduction, we still have more than $150 million of cash on hand and continue to have significant positive cash flow. Today, our balance sheet is the strongest it has been since we became a public company. We have no near-term maturities and we have locked in very low interest rates for many years into the future. In addition, we have ample liquidity for acquisitions from our funds, our cash on hand, our growing positive operating cash flow, and our unencumbered properties. In terms of fundamentals, I am pleased to announce that we expect to positive same property cash NOI for 2012. In our office portfolio, we also expect to see continued improvement in occupancy, as well as rental increases in a number of our submarkets. In our multifamily portfolio, rental rates are increasing in all of our markets. Tourism and foreign trade had record years in Los Angeles during 2011 as did entertainment, media and technology – entertainment, media, and technology, which continue to benefit from their industry's convergence. All of these industries provide good further support to our already robust legal, accounting, and financial service tenants. We completed 2011 with over 106,000 square feet of positive absorption in our office portfolio. This is a dramatic turnaround from the almost 220,000 square feet of negative absorption we sustained in 2010. Given our significant liquidity, we hope that 2012 provides more acquisition opportunities than we saw in 2011. Our first acquisition for 2012 would be to acquire an additional 16.3% interest in one of our institutional funds for approximately $33.4 million. That fund owns six properties totaling 1.4 million square feet of office space. I will now turn the call over to Ted.
Ted Guth: Thanks, Jordan. Good morning or good afternoon. I'd like to begin with our 2011 annual and fourth quarter results, after which I'll address our office and multifamily fundamentals and our recent leverage reduction. I'll finish with some color on our 2012 guidance. Comparing the full year of 2011 to 2010, our FFO increased by 13.8% to $1.38 per diluted share and our AFFO increased by 11.4% to $1 per diluted share. Compared to the same period in 2010, our fourth quarter 2011 FFO increased 90 basis points to $43.9 million or $0.27 per diluted share, while our AFFO decreased 5.5% to $27.4 million or $0.17 per diluted share. As we previously announced, in December 2011 we terminated a $322.5 million interest rate swap that had been scheduled to expire in August 2012. As a result, our FFO and our AFFO for the fourth quarter and for the full year of 2011 were both reduced by a one-time charge of $10.1 million or $0.06 per diluted share. This swap termination will not have any impact on either FFO or AFFO during 2012. Our 2011 G&A totaled approximately $29.3 million or 5.1% of total revenues. For the fourth quarter of 2011, our G&A totaled $8 million or 5.6% of total revenues. Comparing the results for our same properties in the fourth quarter of 2011 with the fourth quarter of 2010, revenue decreased 1.7% on a GAAP basis and 1.6% on a cash basis. Expenses decreased by 1.4% both on a GAAP basis and on a cash basis, and net operating income decreased 1.9% on a GAAP basis and 1.7% on a cash basis. We saw record leasing activity during the fourth quarter. Overall, we signed 190 new and renewal office leases totaling more than 906,000 square feet compared to 170 new and renewal leases totaling 641,000 square feet in the third quarter. Our fourth quarter results included 81 new office leases, totaling 244,000 square feet compared to 74 new office leases, totaling 237,000 square feet in the third quarter. We signed 109 renewal leases in the fourth quarter, totaling 663,000 square feet compared to 96 renewal leases, totaling 404,000 square feet in the third quarter. Our renewal leases during the fourth quarter included a 170,000 square foot renewal and expansion lease to William Morris Endeavor until 2027. The occupancy rate for our total office portfolio in the fourth quarter increased by 40 basis points from the third quarter to 87.5%, while our lease percentage improved by 90 basis points to 89.3%. Our average annualized tenant improvements, leasing commissions, and other capitalized leasing costs for our office portfolio in the fourth quarter decreased to $3.42 per square foot per year from $3.84 in the third quarter. During the fourth quarter, the mark-to-market and rent roll metrics for our office portfolio showed continued improvement. On a straight-line basis, our average rent on new and renewal leases signed during the fourth quarter was 4.9% higher than the average rent on the expiring lease for the same space. Excluding the impact of the long-term William Morris Endeavor lease, our average rent was 2.4% lower than the average rent on the expiring lease for the same space. On a mark-to-market basis, our asking starting rents were 10.4% lower than our in-place cash rents. Excluding the impact of our built-in annual 3% to 5% rent escalations, our asking starting rents were between 4% and 5% lower than our in-place cash rents. On a cash basis, our beginning cash rent on new and renewal leases signed during the fourth quarter was 8.7% lower than the average ending rent on the expiring leases for the same space. Rents on expiring leases include the impact of our annual 3% to 5% rent bumps over the entire term of the expiring lease. As we have said before, the negative effect of rent roll-downs on our office rental revenues which affect approximately 11% to 14% of our office portfolio each year are offset by the positive impact of the annual 3% to 5% rent bumps in our continuing in-place leases. On the multifamily side, our nine communities aggregating over 2,800 units were 99.6% leased at December 31, 2011. During the fourth quarter of 2011, we continued to see strong rent increases. Our average rent on new leases to residential tenants was 4.2% higher than the rent for the same unit at the time it became vacant. During 2011, we also made progress on our pre-1999 units. From 1979 to 1999, the Santa Monica rent control laws did not permit raising rents to market even following a vacancy. Consequently, the rent for our units which have not been vacated since 1999 are significantly below market. During 2011, we turned 19 of those units increasing rent by an average of over $2,100 per month. At the end of 2011, we had 264 pre-1999 units remaining. Capital expenditures for our apartment communities in 2011 averaged $502 per unit. The next item I'd like to discuss is the deleveraging we accomplished last month. Since the beginning of 2012, we completed our ATM stock program by raising an additional $190 million after our last call. This brought our total sales through our ATM to approximately $13.2 million with aggregate gross proceeds of $250 million. We obtained a secured non-recourse $155 million term loan, which bears interest at fixed rate of 4% per annum and matures on February 1, 2019. We used the proceeds from this loan and from our ATM, as well as a portion of our cash on hand to repay the remaining $522 million of our debt scheduled to mature in 2012. By taking these actions, we've reduced our outstanding consolidated debt to $3.26 billion from $3.62 billion on December 31, 2011. As Jordan said, we've reduced the ratio of our consolidated debt to total capitalization to 47% as of February 1st. We now have virtually no consolidated debt maturing until 2015. Even after this pay-down, we continue to have strong liquidity including over $150 million in cash and cash equivalents as of February 1st, continued strong cash flow with 2011 AFFO payout ratio of only 48.7%, and approximately $400 million of buying power through our institutional fund. In addition, we continue to explore a secured credit line and expect to replenish our ATM in the next month or two. While we do not expect to issue equity for further deleveraging, both facilities would provide additional sources of liquidity for future acquisitions. We are also considering another term loan to lock in current low interest rates and pay down existing shorter-term debt. As Jordan mentioned, we have agreed to purchase a 16.3% interest in our institutional fund from a European investor that is rebalancing its portfolio. The purchase price is approximately $33.4 million of equity. That fund owns six properties totaling over 1.4 million square feet of space in our core submarkets. The amount of this purchase could be reduced if other investors in the fund exercise their right of first refusal. Finally, turning to guidance, we expect to increase FFO by about 4% to 8% in 2012 to between $230 million and $240 million. The increase reflects expected improvements in interest expense, cash NOI, and G&A, partly offset by continued decline in FAS 141 straight-line income stemming from our IPO. Because of the additional shares we issued to reduce our debt, this guidance translates into a range of $1.33 to $1.39 per diluted share. However, we expect to report greater AFFO per share for 2012 than for 2011 even after the dilution from the recently issued shares. Our guidance range reflects the following underlying assumptions for 2012. We estimate that our same property cash NOI will be positive by between 1% and 1.5%. Individual quarters in 2012 may show a decline as same property cash NOI is very sensitive to the timing of expenses and other matters. We estimate that our office occupancy at the end of 2012 will be about 1% higher than at the end of 2011, while our multifamily portfolio will remain essentially fully leased. We estimate that our total interest expense affecting FFO will range between $133 million and $135 million. We estimate that our G&A will range between $27.5 million and $28.5 million. We estimate that our FAS 141 income will range between $17 million and $18.5 million. We estimate that straight-line income will range between $4 million and $6 million. We estimate that our weighted average diluted share count will range between 172 million shares and 173 million shares. We estimate that our recurring capital expenditures for our office portfolio will be approximately $0.25 per square foot and that recurring multifamily capital expenditures will range between $400 and $450 per unit. Other than the purchase of the fund interest described earlier, our guidance excludes any impact from future acquisitions, dispositions, equity issuances or repurchases, debt financings or repayments, recapitalizations, or similar matters. With that, I will now turn the call over to the operator, so we may take your questions.
Operator: (Operator instructions). We'll pause for just a moment to compile the Q&A roster. Your first question comes from the line of Jordan Sadler.
Bowman – KeyBanc Capital Markets: Bowman [ph] here with Jordon. Could you guys give the timing on the ATM issuance? I know you said since 3Q, but share count didn't really move that much in the 4Q. So was it mainly in January?
Ted Guth: That's correct.
Bowman – KeyBanc Capital Markets: And do you have an average dollar amount for that?
Ted Guth: The average over the entire ATM was almost exactly $19.
Bowman – KeyBanc Capital Markets: I mean, now you guys have more cash and you thought you were going to have – I mean, it sounds like last time you thoughts you were going to use most of the cash to pay down the term loan. So you have a 150 plus left, you guys are reopening ATM, putting a revolver in place. Do you guys have – is the acquisition pipeline growing maybe on the wholly-owned side that you guys are gearing up to add additional liquidity beyond what's in the fund or is it just prudent liquidity management?
Jordan Kaplan: Well, I always hope that the acquisition pipeline is gearing up and I thought it was kind of lackluster last year. So I'm hoping there is some reverb into this year and there's a little more that we are able to do. But in general, for sure putting the ATM in place is just prudent because we don't really have a use for that anymore in terms of deleveraging. But it's good to have there because I'd love it if we had enough good acquisitions come around or some larger deals that that was something that we thought had to use. And the credit line also is an inexpensive way to have liquidity. We may not – it's not for sure that we will do the credit line, but we are strongly considering it.
Bowman – KeyBanc Capital Markets: Great. Thank you.
Operator: Our next question comes from the line of Alex Goldfarb.
Alex Goldfarb – Sandler O'Neill: Good morning out there.
Jordan Kaplan: Good morning, Alex.
Ted Guth: Hi, Alex.
Alex Goldfarb – Sandler O'Neill: Hi. Just quickly on fund, I want to call it Fund X, but I guess it's Fund 10.
Jordan Kaplan: That's okay. It's just our 10th fund. We did nine funds as a private company. This is our 10th fund.
Alex Goldfarb – Sandler O'Neill: Right. Okay. So what is the – first of all, how is the valuation set? What is the – what's your – now that we are all well familiar with ROFO [ph] rights, what's the interest from the – your co-investors? And then what does this imply about the IRR of the fund to date?
Jordan Kaplan: Okay. I don't know what it – I mean, it's a negotiated purchase price with a seller that wanted to sell their interest for reasons that they said very clearly had nothing to do with the performance or the investments of the fund. We recommended to them that they do not sell it, but we were happy also to buy it, and beyond that, their other – everybody has a right – they wanted to get the transaction done relatively expeditiously, and so we said, "Well, we'll buy it and we'll make that offer to the rest of the investors in the fund that have a right to buy their interest." Remember, we are already a large owner in that fund. So if a couple of other investors want to take their position or percent [ph] interest, they still have a right to do that.
Alex Goldfarb – Sandler O'Neill: Okay. And – but how – I guess what sort of evaluation metric, like how would we think about the price from either cap rate and then also your – what does this imply about the IRR of the fund so far?
Jordan Kaplan: I mean, I don't think it implies anything about the IRR of the fund. In terms of cap rate, I'm not sure that – relative cap rates of buying a fund with cash and everything else aren't going to work out that well. If you want to try and put your hand on some type of value indicator for it, we paid around $400 a foot for that grouping of properties.
Alex Goldfarb – Sandler O'Neill: Okay. And then second question is just – is this European investor – would you say this is an isolated example or are you hearing from some of your other European contacts that investors, financial institutions, et cetera are seeking to raise capital as quickly as they can?
Jordan Kaplan: Well, you have to be hearing that. We are hearing that everywhere.
Alex Goldfarb – Sandler O'Neill: You hear the stuff, but what you hear in the press versus what's actually happened can be two different things. That's why I'm curious.
Ted Guth: There's actually aren't a lot of European investors in these funds. So I don't know that we have additional data points that would be useful to you beyond, as Jordan said, what you – what we all hear in the press.
Alex Goldfarb – Sandler O'Neill: Okay. Thank you.
Operator: Our next question comes from Joshua Attie.
Joshua Attie – Citigroup: – prepared remarks about rent escalations on in-place leases offsetting the negative impact of negative spreads or new leases and that's the way we've been thinking about the portfolio, but can you reconcile that with the 2.5% revenue decline in – on same-store office in the quarter?
Ted Guth: Yes. We have – some of that, there is a very small impact from average occupancy in the quarter. But a lot of it has to do with both tenant recoveries because we had lower expenses in the quarter and therefore our CAMs tend to go down. And in addition to that, we've had as you probably know sort of long-term declines in our FAS 141 adjustments because there was a significant amount of FAS 141 that came on when we did the IPO and as those leases are terminating, those – that amount of FAS 141 income has gone down and so there is a significant – so the adjustments are all in the sort of non what you would think of as base rent rate. It's in things like FAS 141, it can be in straight line and –
Joshua Attie – Citigroup: The cash – the cash number was down 2.5%.
Ted Guth: About 1 million – there is a fair amount in tenant recoveries that's down. The cash number down, primarily because of tenant recoveries.
Joshua Attie – Citigroup: Okay. And can you also talk about the Endeavor lease, maybe just how much square footage was that of the 900,000 and can you repeat what the impact was on the spreads?
Ted Guth: Yes. The Endeavor lease is a total of 170,000 that's included in the leasing facility because it includes an expansion – some of the expansion pieces will come in over the course of the next couple of years. And if you exclude that from the – from the marked rate, it would be – the average rent was 2.4% lower than the average rent on the expiring lease for the same space. So still it is down as it's been in prior quarters, but I think it's a significant improvement.
Joshua Attie – Citigroup: And on a cash basis, down 2.4%.
Ted Guth: That's on a straight-line basis. On a cash basis, I don't have that cash basis number.
Jordan Kaplan: It's not going to be meaningful because they renewed.
Ted Guth: Yes.
Jordan Kaplan: I mean, if so it'd be doing lease to lease of a guy moving out and a new one coming in on a renewal isn't going to make lot of sense.
Joshua Attie – Citigroup: Okay. Thank you.
Operator: Our next question comes from Ross Nussbaum.
Ross Nussbaum – UBS Securities, LLC: Hi, guys. Good morning. Couple of questions. If I look at the new leasing activity in the fourth quarter, it looks like the average tenant size was somewhere around 3,000 feet. So it seems to be your sort of bread and butter kind of tenant. Is that about right in terms of what you are seeing in terms of the new demand?
Ted Guth: That's correct.
Ross Nussbaum – UBS Securities, LLC: Okay. On the balance sheet front, I thought I heard in the guidance that you didn't include anything on the debt front, but I want to be clear, you've got some swaps that are terminating in March and June of this year; it's not a lot, it's like $100 million. What's the game plan for the swaps?
Ted Guth: I don't think that at – well, the assumption in that is that the swaps are not – there are no new swaps on that. So that would then float. That's the assumption. And given the term on that – remaining on that debt, I don't know that we would swap it out.
Ross Nussbaum – UBS Securities, LLC: So, does the guidance assume already that those go from effectively fixed to floating?
Ted Guth: Yes. Yes, it does. I'm sorry.
Ross Nussbaum – UBS Securities, LLC: Okay, just to be clear. And then you've got a bit swap expiring January of '13. I mean, I know that's a year away, but it does impact numbers pretty meaningfully. Is there a game plan at this point for that swap?
Ted Guth: I don't think at this point we have anything that we decided on that swap.
Ross Nussbaum – UBS Securities, LLC: Okay. And then lastly, I just want to make sure I heard correctly, you are planning on doing another term loan potentially to take out some floating rate debt here in the next couple of months?
Ted Guth: We may be doing that, yes.
Ross Nussbaum – UBS Securities, LLC: But again that's not in the guidance.
Ted Guth: That is not in the guidance.
Ross Nussbaum – UBS Securities, LLC: Got you. Okay, thank you.
Operator: Our next question comes from Rob Stevenson.
Rob Stevenson – Macquarie Equities Research: Talk a little bit about which submarkets today you are seeing the greatest relative strength in and where you are still seeing pockets of weakness?
Ted Guth: Well, I mean, clearly the best submarkets right now – the best submarket is Santa Monica which, as we told you last quarter, has really been on fire. And in addition to that, Beverley Hills has a lot of strength, particularly in the Downtown section which is spreading out to the other sections. Sherman Oaks/Encino is doing really well as well. We've – Century City, we still have that, if you look at our – we generally talk about 95% being sort of structurally full because of the timetable to replace tenants in our small tenant portfolio. So that's also sitting at a very full rate there. Westwood, starting to come back from the sort of noise we had for a couple of quarters. And clearly the one that will remain our development market is where we get most of our vacancies out in Warner Center.
Rob Stevenson – Macquarie Equities Research: And any stirrings there in terms of whether or not it's in your portfolio or just in the market in general in terms of big lease signings out there that's describing that market these days?
Jordan Kaplan: There is activity out there and we are optimistic that we are going to be able to push our occupancy up. But it's – whenever you are dealing with a larger tenant market like that and you lose huge chunks of space when they move out, it's hard to feel the impact of that activity for a while. So I think we are feeling like we're going to make some good progress there this year.
Ted Guth: A couple of other things. We bought that market with the hope that it would convert over time to the small tenant market and I think we are still seeing that. But that means that market is going have some noise in it for a while. The other thing I'd say about that is, with Sherman Oaks – and I think we said this in the last call, with the strength coming in Sherman Oaks/Encino, we are hoping to be able to start to push some of the tenants out towards Warner Center and maybe see some of the strength improve in that market as well.
Rob Stevenson – Macquarie Equities Research: Okay. And then, given your comments about the big spread between people who have moved out of apartments in Santa Monica that have been there for a long period of time, I mean, what's the number of units that you guys still have that are subject to that far below market rents? And do you guys have an active program to try to buy people out of their leases?
Ted Guth: There is 264 units of pre-'99 units that remain and I – we have generally told you all that we expect in any given year to be seeing about 15 or 20 of those turn. We have at times had programs to try and induce people to move, but that often just accelerates the people who were going to move in that year and so you pay a lot and don't get a lot back. But we do think about that from time to time.
Rob Stevenson – Macquarie Equities Research: Okay. Thanks, guys.
Operator: Our next question comes from Jamie Feldman.
Jamie Feldman – Bank of America/Merrill Lynch: Great. Thank you. I guess my first question is, if I look at your occupancy as of the end of the quarter and then I look at your percentage leased at the end of the quarter, it looks like you are already getting the 100 basis points. I mean, you look at the delta between the two – I'm looking at the same stores. So you're at 88.4% occupied, 90% leased, and I think the guidance that you are up 100 basis points between now and the end of next year. Kind of what are ins and outs there that get you to actually a lower number than the percent leased? Am I thinking about it right?
Jordan Kaplan: You lose some tenants and then that causes your percent leased to go down and you lease to get people that haven't started again. I mean, that spread moves constantly through the portfolio. You have to gain on it. I mean, if we just stopped – if we stop the date, the calendar and only let the calendar progress in terms of people moving into that space, you would eat up that spread. But each month those people in the signed lease but not occupied category move in and some new people with a signed lease move out. So usually, when you're gaining leased percent, you are going to have that spread widen more and more, right? So the more you lease, you are going to have a bigger spread from occupied to leased because you need those people to take – that's a bigger group that needs to move in and start paying rent.
Jamie Feldman – Bank of America/Merrill Lynch: Right. No, I mean, I get that. I guess what I'm trying to figure out is, are there certain leases that would be big swings either way that may or may not change?
Jordan Kaplan: No, I don't think we have big swings this year.
Ted Guth: We don't have any of our major tenants coming up for renewal, so I don't see that. I also – by the way, just as a suggestion, although we have done our same-store as the REIT only properties as opposed to including Fund 10 and Partnership 10, you may want – to get better direction in our markets, a lot of times focusing on the overall total portfolio is helpful because it can move around a little more than the individual things.
Jamie Feldman – Bank of America/Merrill Lynch: Okay. And then what are you assuming for leasing spreads next year within that same-store number?
Jordan Kaplan: I don't think we have a leasing spread calculation that we've done for our pro forma.
Jamie Feldman – Bank of America/Merrill Lynch: Do you have a general sense of whether you think on a cash basis, how much they'll be down?
Jordan Kaplan: Well, in general, as leases roll off, as – you're looking five years back and today, right, if you have an average five-year long lease. So as five years ago moves farther forward, you move into a time when leases were going down, right, you get out of – later in the 2007 into 2008. So you would think that natural direction would be you'd still need sort of fighting leasing spreads going into the end of this year and then you'd see it turn next year.
Ted Guth: Going back to one of the reasons why we don't focus on that metric very much is – two reasons, I guess. One is, because as we've said that change in lease rates doesn't really affect the bottom line very much because it's sort of offset by the growth on the other leases in the portfolio. And secondly, the roll-down is – even in a flat market that cash roll-down is actually built into our portfolio because of the bumps in the rents so that you have over the five year – if you have a five-year lease and again, part of the problem with calculating that statistic is you have to do on a lease-by-lease basis and looking forward, that's very hard to do. But it's – if you – as you go through the lease term, you actually have a built-in growth that than falls off when you go down to the next lease.
Jordan Kaplan: Hopefully, it doesn't fall off. But you need rents to generally be growing more than more than 3% to 5% a year.
Jamie Feldman – Bank of America/Merrill Lynch: Right. Okay. And then, I know you'd said that your AFFO should be higher this year than last year.
Jordan Kaplan: On a per share basis.
Jamie Feldman – Bank of America/Merrill Lynch: On a per share basis?
Jordan Kaplan: I thought that was impressive since we had all the dilution and we still – in the numbers that – if you look at those numbers pretty carefully, the reason is we've overcome the dilution with – ignoring let's say the non-cash accounting adjustments to get – looking more at real – what the properties are making, what we are making as a company. We've – we are even overcoming that on a per share basis, which gives you some feeling for how strong the cash flow of the company is the FFO, which I saw some people wrote some notes about that, but –
Ted Guth: We nearly – we nearly overcame it in the FFO side.
Jordan Kaplan: Yes.
Jamie Feldman – Bank of America/Merrill Lynch: Okay. So I guess what I am wondering is given that, what are your thoughts on the dividend, where it is today and room to grow?
Jordan Kaplan: Well, we for sure have room to grow it, right, because you can do a quick calculation to see how our – we are covering it by a couple of times. But it's a same story as we've discussed before, which is – we don't want the dividend certainly to act as a drag on to stock price. We want to have a dividend that supports the stock price and price going up. At the same time, cash is dear to us and we want to also have it available for acquisitions. And you also can – can also look at whether, if you just have pure cash flow, whether you want to further reduce your debt. Even though Ted said that we are not going to issue any equity to reduce debt, we still have cash flow and that can be used to reduce debt if we don't find good alternative uses for it – for acquisition. So we still have those three things sort of going on, as well as wanting the dividend to be sort of appropriately sized for the stock price.
Jamie Feldman – Bank of America/Merrill Lynch: And do you guys run into any taxable net income issues that would force it higher?
Jordan Kaplan: No.
Jamie Feldman – Bank of America/Merrill Lynch: Okay.
Jordan Kaplan: No. Matter of fact, this 2011, our stock dividend had no taxable income associated with it.
Jamie Feldman – Bank of America/Merrill Lynch: Okay. All right, thanks.
Operator: Our next question comes from Brendan Maiorana.
Jordan Kaplan: Hi, Brendan.
Brendan Maiorana – Wells Fargo Equity Research: Hi, guys. Good morning out there. So Jordan, I just wanted to follow up on Jamie's question about maybe about the occupancy and the leased rate differential, because even though your occupancy went up more quickly this quarter than your leased rate. So do you guys have a sense of what you think that net absorption for the portfolio is likely to be for 2012? Is that going to be in line with the 100 basis points of occupancy growth that you expect as well?
Jordan Kaplan: That's what that is. When we say 100 basis points, we are talking about occupancy absorption, not lease. For you guys doing your models, leased isn't really that meaningful, right, because you are trying to project FFO, AFFO, whatever – some other counting statistics. And so what we give you is the occupancy stat. So we could actually have a bang-up leasing year, widen that gap a lot, so it looks like we're getting 92% leased. I'm just making these numbers up but – and still only gain 100 basis points or 110 basis point of occupancy because it still takes time for them to move in and start paying, which – that's when it's reflected in the numbers that you guys see.
Brendan Maiorana – Wells Fargo Equity Research: Right. So I guess, I'm just asking, can you provide an outlook of what you think the lease rate does? I recognize that doesn't impact the FFO, but it gives us kind of directionality on how you are trending for leasing up your portfolio.
Jordan Kaplan: Well, we are obviously feeling pretty good about leasing up the portfolio because it takes more than 100 basis points of leasing to pick up 100 basis points of occupancy. So I mean, that gives you a good sign about how good we – I mean, if you just – to cut to it, we are feeling pretty good about the fundamentals and the leasing fundamentals of our markets going into 2012. I mean, I felt like we – every year we want to do well on fundamentals, we also had a goal of doing this capital program, we got that done frankly quicker than even I expected, and got our debt sort of rebalanced. And now, we have a real strong focus on fundamentals which we always have and on seeing if we can do some acquisitions.
Brendan Maiorana – Wells Fargo Equity Research: Okay. That's helpful. And then, for the same-store guidance, the – I think it's positive 1% to 1.5%. Is that – can you break that out between multifamily and office?
Jordan Kaplan: I can't, because I don't know those numbers. I mean, I know the 1% and 1.5%. I don't know what comes from multifamily and what comes from office side. I mean, it might – no, I don't have that.
Brendan Maiorana – Wells Fargo Equity Research: Okay, maybe we can follow up offline. And then, just a last one for Ted. The – you guys said you had $150 million or more than $150 million of cash on the balance sheet. If I just think about your $407 million of cash at 12/31, raising $190 million via the ATM in January, $155 million on the term loan, and then paying off the $522 million, it seems like you'd be at around $225 million, $230 million in cash. Is there something else that I'm missing in that calculation?
Ted Guth: You must be because we were $150 million, but I don't know – I can't think right now of any major thing on that, but I'd have to run the numbers.
Brendan Maiorana – Wells Fargo Equity Research: Okay, maybe we can just follow up later. Thank you.
Operator: Our next question comes from Rich Anderson.
Rich Anderson – BMO Capital Markets-US: Thank you and good afternoon. So just quickly, back to the dividend, you've raised 30% last May. I mean, is that – increase like that sort of off the table based on your comments about preserving cash?
Jordan Kaplan: Well, I wouldn't say anything is off the table, but I would consider that raise to be less of a regular pattern raise than more of a corrective raise. So I wouldn't expect regular 30% raises, but we do have – I mean, I would like to see us start moving the dividends on a real organized and careful way, in an upward direction, the types of numbers that people can rely on, on a regular basis annually. Which – 30% would not be that type of number.
Rich Anderson – BMO Capital Markets-US: Well, it could be if you're at 45% payoff, but I'm –
Jordan Kaplan: I know it could be, but it isn't in my mind that type of number.
Rich Anderson – BMO Capital Markets-US: Okay. So to the fund, can you remind me now what the additional purchase interest – where your ownership stake is in that?
Ted Guth: We had – before this purchase, we have about 48 – a little over 48% of Fund 10, and so if the entire 16.5% interest comes to us, we'll be right – just shy of two-thirds.
Rich Anderson – BMO Capital Markets-US: Okay. So the question is then, is there a mechanism by which not just the other parties, but third party – unrelated parties right now that can come in and buy out your interest to bring it down or is that door kind of closed, is there no flexibility there?
Jordan Kaplan: That door is closed, it's a built-in – it's a built-in option that people have by right by being investors in the fund. And so the remaining investors in the fund have a right to take their share relative to the share that we're willing to take percent, so – they may take some, but it wouldn't be a very large or meaningful number.
Rich Anderson – BMO Capital Markets-US: You already consolidate the fund, is that correct?
Ted Guth: We do not and we will not be consolidating after this under the rules on consolidation. For better or for worse, it's not consolidated.
Rich Anderson – BMO Capital Markets-US: Okay. And one last thing. If you want to hire me to get rid of that 264 people in the multifamily units, I'd be happy to help you out there.
Jordan Kaplan: Well, but you don't live in L.A.
Rich Anderson – BMO Capital Markets-US: I could.
Ted Guth: That may be better.
Rich Anderson – BMO Capital Markets-US: Thank you.
Jordan Kaplan: All right.
Operator: Our next question comes from John Guinee.
John Guinee – Stifel, Nicolaus & Company, Inc.: Can you guys – two questions. First, you never really talk much about your apartment business. I'm not sure, Jordan, if you guys have ever acquired an apartment since you've been a public company. Can you talk about the quality of apartments projects that you would want to acquire in Southern California, what the pricing is and why, and also the pricing in Honolulu. And then I guess, the other thing is can you just do the rest of the math and talk about the basis that this European investor has in the fund versus the $33 million in change you are paying?
Jordan Kaplan: I can't do the rest of the math for you, because I don't know the basis they have in the fund. I can talk about the apartments. We would try and to acquire apartment projects that would be similar to the ones that we already own, which is very hard to do because most of them are much smaller. That's here in L.A. There are larger projects in Honolulu, but they are – well, one big one that came up was on a ground lease and we are not in love with ground leases, so that drove us away from that. But there's some others that we are working on and there's some that we are working on here where maybe we get a portfolio of apartments. But you are right, the original thing that you said, which is that since we became public we haven't acquired an apartment building. In terms of what are the economics, apartments are being valued very high right now, although maybe appropriately so – probably appropriately so. I mean, we are seeing very dramatic rental increases in our apartment portfolio and we are not – and it seems like those numbers still have a lot of running room. So we try and work on portfolios where people have – which we are working on where people have other things pressuring them or maybe we can use OP units if they a tax situation or where maybe people had – need cash because of a debt situation, having been to aggressive developers at an earlier time. But I still feel like we'll get some of those down. It's certainly a priority to try and expand that portfolio. But we haven't done much of it, yet. So, I'd say you give us poor grade at it up to now.
John Guinee – Stifel, Nicolaus & Company, Inc.: Got you. Okay. Thank you very much.
Operator: Our next question comes from Steve Sakwa.
Steve Sakwa – ISI: Hi, Jordan. I was wondering if you could talk a little bit about the geographic footprint. I think when you went public you had said that you would potentially look at expanding both south and north, and your local competitor has made a pretty big push up into San Francisco and Seattle. I am just wondering how you are thinking about potential geographic expansion at this point.
Jordan Kaplan: Well – and I think they've done very well in doing that. And to be candid, we felt like more would come available in these markets we have a great edge. And therefore, we stayed focus on these markets and obviously we didn't want to stress our balance sheet coming out of this thing. We wanted to keep a lot of liquidity for acquisitions that could happen here. And we've done that and we've got a very, very strong balance sheet and a lot of liquidity, and a fund, and cash, and all types of ways to raise money. But so far, we're all dressed up and no one's throwing the party. Maybe it would have been wise for us to go north or south, but that's not really the way we operate, we are a very focused group. So going north to San Francisco or Seattle would be, "Hey, it's a good time to buy a building or two in Seattle and then as soon as the market runs up, we'll set it again." It's a much larger commitment for us and we didn't want to make that commitment when we still thought there was opportunities here. We might end up being wrong; we might end up being right. I mean, it still needs to be played out.
Jordan Kaplan: Did I answer your question or – we lost on the caller, okay.
Operator: Our next question comes from Michael Knott.
Michael Knott – Green Street Advisors: Speaking of investment opportunities, I just was wondering if you could elaborate on what makes you more confident that 2012 might yield more opportunities for Douglas Emmett than 2011.
Jordan Kaplan: Well, for starters, I said "I hope" in the script. I didn't say more confident. But there is deals that I thought were going to come out in 2011 than when things dipped down over that summer and when you saw sort of a backup in value through second and third – or through the third and fourth quarter, that I still think are on the slate for a sale, and I think they will come back this year and I feel like we will be able to be competitive and make those acquisitions.
Michael Knott – Green Street Advisors: Okay. And then, just in terms of Warner Center, you mentioned earlier you expect some progress there this year. What would be a good outcome a year from now compared to today's 81%? How quickly or not do you think that can move up?
Jordan Kaplan: I'd like it to move up 200 or 300 basis points, and maybe even more.
Michael Knott – Green Street Advisors: Okay. Thanks.
Operator: Our next question comes from Nick Yillego [ph].
Nick Yillego: Just a follow-up here. Do you have the full year same-store cash NOI numbers? I've just seen the quarterly numbers in the supplemental.
Ted Guth: I think that the full year was down 2.9%.
Nick Yillego: Okay. And then, on – do you have a specific breakout on the office sort of for the full year?
Ted Guth: The office was down 3.8% and multifamily was up 3.2%.
Nick Yillego: Okay, that's all I had. Thanks.
Operator: (Operator instructions). And there are no further questions from the phone lines at this time.
Jordan Kaplan: Okay. Well, thank you, everybody for joining us today and we look forward to speaking with you next quarter and seeing many of you in Florida at the Citi Conference in a month or so. Bye-bye.
Operator: This concludes today's conference call. Thanks for your participation. You may now disconnect.